Operator: And good afternoon. My name is Jennifer and I will be the conference operator today. At this time, I would like to welcome everyone to the Electronic Arts First Quarter 2017 Earnings Call. All lines been placed on the to prevent background noise. After the speaker's remarks there will be a question-and-answer session. Thank you. And now I would like to turn the call over to Chris Evenden, Vice President of Investor Relations. Sir, you may begin.
Chris Evenden - Vice President-Investor Relations: Thank you, Jennifer. Welcome to EA's fiscal 2017 first quarter earnings call. With me on the call today are Andrew Wilson, our CEO; Blake Jorgensen, our CFO; and Ken Barker, our Chief Accounting Officer. Please note that our SEC filings and our earnings release are available at, ir.ea.com. In addition, we have posted earnings sides to accompany our prepared remarks. Lastly, after the call we will post our prepared remarks, an audio replay of the call and a transcript. One quick note on upcoming events. Our Q2 earnings call is scheduled for Tuesday, November 1. This presentation does contain forward-looking statements regarding future events and the future financial performance of the company. Actual events and results may differ materially from our expectations. We refer you to our most recent Form 10-K for a discussion of risks that could cause actual results to differ materially from those discussed today. Electronic Arts makes these statements as of today, August 2, 2016, and disclaims any duty to update them. We will present both GAAP and non-GAAP financial metrics during this call. However, as discussed on our July 19 conference call, in light of the new interpretations issued by the SEC on May 17, this will be the last call in which we disclose any non-GAAP measures that adjust for deferred revenue. Our earnings release and the earnings slides provide a reconciliation of our GAAP to non-GAAP measures. These non-GAAP measures are not intended to be considered in isolation from or as a substitution for or superior to our GAAP results. We encourage investors to consider all measures before making an investment decision. All comparisons made in the course of this call are against the same period in the prior year unless otherwise stated. Now I'll turn the call over to Andrew.
Andrew P. Wilson - Chief Executive Officer & Director: Thanks, Chris. Our first quarter was an excellent start for fiscal year 2017, demonstrating that our digital transformation continues to strengthen and drive growth for Electronic Arts. Revenue and earnings exceeded our guidance as players engaged deeply with their favorite games and connected with each other across a global network of live services. On HD platforms, we have thriving communities in our major franchises, and these will continue to grow as we introduce great new experiences this year. More than 11.5 million people played our Battlefield titles during Q1 and more than 6.6 million played Star Wars Battlefront, two examples that illustrate how great games continue to engage players over time. Looking ahead, there is tremendous excitement for both Battlefield 1 and Titanfall 2, a combination that we believe will bring vitality and innovation to the huge first-person shooter audience. The community has been electrified by Battlefield 1's modern take on World War I, delivering strategy, team play and epic scale in a completely new setting. Titanfall 2 is bringing the game's signature Pilot and Titan combat to a new single-player campaign, and its fast and fluid multiplayer led it to win the Best Online Multiplayer award from the E3 Game Critics. These two titles are driving the variety, progression and fresh new experiences that players want, and we believe they will be an unstoppable pairing during the holiday quarter. Our EA SPORTS titles on console are also seeing massive engagement and players will be thrilled with new ways to play in this year's games. Unique players in Madden NFL grew 20% in Q1 over last year's game. And current and new fans alike will love Madden NFL 17's redesigned Franchise Mode and new competitive tournament, the Madden NFL 17 Championship Series. In our FIFA franchise, millions of soccer fans continue to engage daily with FIFA Ultimate Team, and this year we'll deliver our first-ever Story Mode in FIFA 17. Powered by our Frostbite engine, Story Mode adds an entirely new dimension to the FIFA experience that has fans incredibly excited. And perennial fan-favorite NHL 17 will let hockey fans show their national pride through the all-new World Cup of Hockey Mode. In our mobile business, we are seeing growth across multiple genres. Star Wars: Galaxy of Heroes players spent nearly 2.5 hours per day on average in the game, reflecting how much players continue to enjoy the RPG-style combat and in-game community events. In the sports genre, our EA SPORTS mobile titles continue to gain momentum and connect with even more passionate fans. Madden NFL Mobile had 25% more monthly active players in Q1 year-over- year and 37% more game sessions in the same period. We are continuing to invest in great experiences for sports fans across the globe. A new Madden NFL Mobile season is coming soon, NBA LIVE Mobile just launched on iOS and Android and hit number one on the U.S. App Store free download chart and we have a new FIFA mobile game coming later this year. With our focus on groundbreaking new games, dynamic digital experiences and deeper player relationships, EA is innovating to lead our industry. Our new EA PLAY event in June was built on these same principles, inviting our players in and going beyond the typical format to drive a global conversation. Nearly 9,000 fans joined us in Los Angeles and London and millions more connected online to dive deeper into our upcoming games. We livestreamed more than 20 hours of gameplay and competitive gaming events. And more importantly, hundreds of community influencers captured more than 1,400 hours of content from our games to share with the community. Feedback from players that got hands-on at EA PLAY was very positive. And more than ever, we are fulfilling the needs of our players and content creators that connect by sharing great experiences in the games they love to play. We're off to a strong start through Q1 and the year ahead is going to be an exciting one for our players, for Electronic Arts and for our industry. Now I'll turn the call over to Blake.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Thanks, Andrew. As we discussed on our July 19 call, the SEC has issued new interpretations that no longer permit the use of non-GAAP measures that adjust for revenue deferrals into and out of the quarter. As well as revenue, we've historically adjusted many non-GAAP financial measures for the effect of revenue deferrals, including gross margin and EPS. This is the last call in which we'll report these non-GAAP measures. However, since our board and management team will continue to use these measures internally to manage the business, we will continue to provide the financial data that will allow you to compare our results to our historically reported non-GAAP financials. For more information on this, please see the documents we posted on our Investor Relations website following our July 19 call. Now on to the quarter. Q1 beat our expectations, driven by outperformance from Ultimate Team and our mobile game, Star Wars: Galaxy of Heroes. EA's GAAP net revenue was $1.271 billion. This benefited from a change in deferred net revenue of $589 million, resulting in a non-GAAP net revenue of $682 million, well above our guidance of $640 million. As a reminder, non-GAAP net revenue is always the sum of GAAP net revenue and the change in deferred net revenue. The change this quarter is negative; thus non-GAAP net revenue is smaller than GAAP net revenue this quarter. See our earnings documents in July 19 information – or for more information. GAAP revenue is up year on year, driven by deferrals of Star Wars Battlefront revenue from Q3 fiscal 2016. The underlying business is down slightly year-on-year, but remember, the year-ago quarter benefited from strong catalog sales of Battlefield Hardline, which launched two weeks before the beginning of the quarter. Last year's quarter also included an extra week and a one-off revenue recognition of $31 million for FIFA Online 3 in China. A note here on quarterly comparisons in a GAAP-only reporting environment. Because GAAP revenue is built from a portion of the sales from the quarter plus some of the sales from each of the previous three quarters, a simple year-on-year comparison doesn't reveal much about the dynamics of the underlying business. Because of this, we will restrict ourselves to qualitative comparisons. We will continue to report all the financial data we use internally to adjust our GAAP financials so you may derive comparable measures for yourself. We're also considering adding other metrics that might be used to quantify business trends. We will continue to focus on our most important financial metric, operating cash flow. Our trailing twelve months operating cash flow was $1.05 billion, a record for the period. Capital expenditures for the 12 months were $109 million, delivering a trailing twelve-month free cash flow of $937 million. Our GAAP digital net revenue for the quarter was $689 million, benefiting from a change in deferred revenues of $121 million, resulting in $568 million on a non-GAAP basis. Digital continues to grow as a percentage of the business, and this quarter marked a new high. Breaking down our digital revenue into its key components highlights the performance of each of these businesses this quarter. Extra content and free-to-play contributed $300 million to GAAP net revenue, benefiting from a change in deferred net revenue of $42 million. Thus, non-GAAP net revenue was $258 million. As mentioned earlier, the year-ago quarter had a one-off benefit of $31 million from FIFA Online 3 in China. Underlying growth was strong, as FIFA Ultimate Team benefited from the heightened interest in soccer driven by the Euros and Copa America. FIFA Online 3 continues to perform well and is tracking to our expectations. Mobile was up strongly year on year, driven by the strength of Star Wars: Galaxy of Heroes. Mobile generated $165 million in GAAP net revenue in the quarter, benefiting from a change in deferred net revenue of $24 million. Thus, non-GAAP net revenue was $141 million. Note that under GAAP rules, online-enabled content for mobile games, including in-game currencies, is also recognized ratably over a service period. Full-game PC and console downloads generated $137 million of GAAP net revenue, benefiting from a change in deferred revenue of $53 million. Thus, non-GAAP net revenue was $84 million. Digital downloads were high in the quarter, as expected for a period dominated by catalog sales. Sales growth year on year was flat due to the strength of Battlefield Hardline in Q1 last year. We continue to anticipate that the proportion of games bought digitally will increase by about 5 percentage points this year. Subscriptions, advertising and other digital revenue contributed $87 million to GAAP net revenue. Non-GAAP was $85 million. The underlying business was up, supported by the growth in subscriptions for EA Access and Origin Access. Moving on to gross profit; our GAAP gross profit for the quarter was $1.1 billion, a gross margin of 85.9%. Remember that GAAP revenue, particularly in Q1, is driven by revenue deferred from prior quarters, whereas cost of goods sold is driven by the volume of sales actually in Q1. You can therefore expect to see some volatility in the quarterly GAAP gross margin as we move through the year. GAAP cost of goods sold was $179 million, which included $13 million of amortization of intangibles and $1 million of stock-based compensation. Therefore, non-GAAP COGS was $165 million and non-GAAP gross profit was $517 million, resulting in a non-GAAP gross margin of 75.8%. This was down 1 percentage point year on year because of the extra FIFA Online 3 revenue recognized in Q1 fiscal 2016. GAAP operating expenses for the quarter were $532 million, including $47 million of stock-based compensation and $2 million of amortization of intangibles. Thus, non-GAAP operating expenses for the quarter were $483 million. Currency movements actually added to expenses this quarter, as rates were higher for most of the quarter than when we gave guidance, although the British pound in particular fell at the end of the period. Despite the unexpected currency headwinds, underlying expenses were down year on year. The resulting GAAP diluted EPS was $1.40 per share. Adjustments required to derive the non-GAAP EPS include the $589 million change in deferred net revenue, $15 million of amortization of intangibles, $48 million of stock-based compensation attributed to operating expenses and cost of goods sold, debt-related expenses of $2 million, a non-GAAP tax rate of 21% and a reduction of 2 million shares for the convertible bond hedge which is not included in the GAAP share count. See the example we posted for Q4 fiscal 2016 following our July 19 call for details on how to apply these to derive the non-GAAP EPS. Non-GAAP EPS was a positive $0.07 and $0.12 better than our guidance. Outperformance in our digital business drove both top line and profitability higher than we had anticipated this quarter. Our cash and short-term investments at the end of the quarter were $3.427 billion. 48% of this cash and short-term investment balance is held onshore. During Q1 we settled $27 million in early conversions of our convertible notes. We completed repayment of the remaining notes in July. We have posted a document on our website that explains the impact on our share count. The most important takeaway is that our diluted share count, whether expressed as GAAP or non-GAAP, already includes the potential dilution at the current share price. We also repurchased 1.9 million shares at a cost of $129 million, leaving $410 million in our two-year $1 billion buyback program we began in May 2015. The current rate of repurchases keeps us on track to complete the full $1 billion in that time. Net cash used by operating activities for the quarter was $248 million. This is typical for a first quarter. The year-ago quarter was atypical in that it had substantial collections from Battlefield Hardline sales. The trailing 12-month operating cash flow was $1.05 billion. I wanted to take a moment away from our quarterly results to discuss our FX hedging program in a broader context. We run a global business, with roughly half our revenue coming from outside the U.S. Volatility in exchange rates is still very high by historical standards and macroeconomic events, like the U.K.'s vote to leave the European Union, are injecting even more uncertainty into the system. A comprehensive hedging program is important in ordinary times, but the extraordinary events of the last year or so made it critical. Our hedging program has two components; one, to reduce volatility in the P&L and a second that does the same for the balance sheet. The first is designed to hedge anticipated revenue and expenses across seven of EA's largest foreign currency exposures. Combined, these seven currencies represent approximately 70% of our non-U.S. dollar operating income. We hedge with forward contracts up to 18 months out. The second covers FX exposure to net monetary assets and liabilities, including third-party accounts receivable and payables as well as intercompany balances. This program aims for 100% coverage of 17 currencies, which account for about 90% of EA's non-U.S. dollar net monetary exposure. We hedge with swaps and forward contracts that generally have a maturity of three months or less. Together, these programs are designed to minimize the impact of currency fluctuations on our business. Turning to guidance, we're excited about the expanded Franchise Mode in Madden NFL 17 and by the FIFA story mode powered by Frostbite. We expect our second quarter GAAP net revenue to be $915 million. This includes a headwind from the anticipated change in deferred net revenue of $160 million. Note that this is an increase in deferred net revenue, thus we expect the non-GAAP measures we would have reported under our previous approach to be higher than the GAAP net revenue in Q2. In other words, you need to add GAAP revenue of $915 million to deferred net revenue of $160 million to arrive at the comparable non-GAAP numbers in your model. With regards to year-on-year comparison, remember FIFA 17 will launch four days before the end of the quarter as opposed to the 11 days FIFA 16 had in the quarter last year. This means very little of the digital revenue associated with FIFA 17 for full-game downloads and FIFA Ultimate Team can be recognized in the quarter. We estimate that absent changes in deferred revenue, about $75 million of high-margin mostly digital sales are pushed into Q3. We anticipate a currency headwind to add to the year-on-year comparisons, and this is factored into our outlook for revenue and change in deferred revenue. Our expectations of currency impact on the whole year have not changed. Cost of goods sold during the quarter is expected to be $405 million, including $13 million of amortization of intangibles. Rather than guide GAAP gross margins, which can be highly volatile from quarter to quarter due to revenue deferrals, we believe that guiding COGS will give you a better insight into our business. With GAAP net revenue, the change in deferred net revenue in COGS, you can calculate both GAAP gross margins and a gross margin comparable to the non-GAAP measures we have given in the past. We expect our Q2 GAAP operating expenses to be $566 million, including about $50 million in stock-based compensation and $1 million in amortization of intangibles. Excluding the effect of stock-based compensation, expenses are up year on year, driven by increased investment in R&D. This results in a GAAP diluted loss per share of $0.17. As mentioned earlier, this is driven by costs associated with the major sports launches being recognized within the quarter, but much of the revenue being deferred out of the quarter. Adjustments required to derive the non-GAAP EPS include $160 million change in deferred net revenue, $50 million of stock-based compensation attributed to operating expenses and COGS, $14 million in amortization of intangibles and a reduction of 2 million shares from the convertible bond hedge. Debt-related expenses are expected to be below $1 million this quarter. With regard to the underlying business, we would expect it to be down slightly year on year, driven by the roughly $75 million of FIFA sales that has moved to Q3. We are not changing our annual outlook for revenue and net income at this time. EA Play and the response at E3 was very positive, but it's too early to attempt to extrapolate from that to full-year results, particularly in a fiscal year that is expected to be so back-end loaded. We are updating our GAAP diluted share count for the year to $316 million, primarily based on the repurchase activity in the first quarter. This increases the GAAP EPS guidance by $0.03 to $2.56 for the year. It remains our practice to not factor in potential repurchases into our forecasted share count for the full year. Regarding cash flow for the full year, we are maintaining our operating cash flow guidance at approximately $1.3 billion and free cash flow guidance of approximately $1.2 billion. The ongoing strength of our live services and the reception to our upcoming launches bodes well for the rest of the year. Now I'll turn the call back to Andrew.
Andrew P. Wilson - Chief Executive Officer & Director: Thanks, Blake. Our industry has never been more vibrant and full of opportunity. Games are a global phenomenon. Digital is unlocking more growth and reducing barriers for the next billion players who experience games through new platforms, new ways to play and new business models. In this world, discovery and connection are critical. We are building our EA Player Network to connect more players through games and deliver fresh, engaging experiences every time they play. From single cross-platform identity profiles to more intuitive user interfaces and recommendation engines that help you find friends and get into the action faster, the Player Network will enable new ways to engage in-game and beyond. In our crowd, competitive and multiplatform world, EA is working to connect more players with each other through the games they want to play. Games should be extraordinary. With each game we make, we work to push the boundaries with creativity, technology and new ways to play. Our Frostbite engine is powering more of our biggest games and becoming a true differentiator, scaling across FIFA, Battlefield, Mass Effect and more to deliver stunning gameplay, incredible depth and entirely new modes. And mobile games from EA SPORTS to The Sims to Star Wars are tapping into the passion of our players and offering captivating ways to engage no matter where you are. Across our studios and labs teams, we're developing new types of games and breakthrough capabilities. From immersive and authentic VR experiences to new technologies that transform how we connect, we are constantly in pursuit of the next amazing thing for our players. Games also bring us together. Each day, millions of players connect through our live services, and this year, we'll bring even more ways to engage, including competitions accessible to all our players. In two weeks, tens of thousands of players will join us again to come to play our upcoming titles like Battlefield 1, Titanfall 2, and FIFA 17. Many more will watch the content streamed online from Cologne, joining the excitement and conversation about the games they love that are launching in the weeks and months ahead. With every game session, every social conversation and every connection between our players, we are building a powerful global community. We have outstanding new titles to launch in Q2 and much more to come through the rest of the year. Now Blake, Ken and I are here for your questions.
Operator: And our first question comes from Stephen Ju with Credit Suisse.
Stephen Ju - Credit Suisse: Okay. Thanks. Just wondering if you can share anything about NBA this year and what will change versus years past and whether you think launching off-calendar will meaningfully impact its prospects? And secondarily, is the Q4 launch of NBA, is that going to be the rule of thumb on a go-forward basis, or will you look to get this back on the calendar? Thanks.
Andrew P. Wilson - Chief Executive Officer & Director: So first off, as we think about NBA and we think about captivating a global fan base with NBA, we're very, very excited about what we just launched with NBA Live on mobile. As we said in the prepared remarks, it quickly went to number one in the free downloads and it's been performing extremely well. Engagement is high and better in terms of metrics across the board than we could've expected and better in terms of metrics than many of our other sports games so far. So that leads us to believe that we have an exciting opportunity with NBA and an exciting opportunity with sports on mobile all together. The broader NBA plans, we don't have anything more to announce right now other than the team continues to work diligently on ensuring that we are delivering great NBA experiences on any and all devices that fans want to play on. And we believe that, as we are able to announce more around our plans, that it will be very exciting for fans across all devices.
Stephen Ju - Credit Suisse: Thank you.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Next question?
Operator: And our next question is from Justin Post with Merrill Lynch.
Justin Post - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thank you. Can you help us at all with your Battlefield expectations in your guidance and whether you've changed those at all post E3? And then you are buying back quite a bit of stock, but you have a lot of SBC. Now that you're going to GAAP, do you think you can lower SBC? And as you do buybacks, do you think you can really lower that share count over time? Thank you.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Yeah, let me hit both of those, Justin. First, we were very pleased at the reaction of players at our EA Play. I think you got a chance to play it yourself. It's been very, very popular, and the feedback has been extremely strong. We tend not to try to raise guidance too early in the year. We would like to see a little more demand metrics on all of our products, particularly Battlefield and Titanfall, before we make that decision. Gamescom is a very important beat that's coming up in a couple of weeks in Europe, and then obviously the potential for betas around those products will help us derive better demand metrics. Last year, if you remember, we did raise guidance coming out of the first quarter because our initial forecast on Battlefront, the Star Wars title, was relatively low, and we moved that up. We've got a fairly normal forecast for Battlefield and Titanfall, so we're not moving those yet, but we're still super optimistic about the titles. I'm very excited. So, more to come in the future. But we felt it was just too early in the year to try to move guidance on any of the titles going forward. On the share count piece, we have been over time bringing down stock-based compensation. With an important part of the overall compensation, we feel it's important as part of our employees and executives to bear some of the risks of the stockholders. And having your compensation as part of that is critical. But we also recognize that we need to bring all compensation down over time to continue to be profitable as a company. We balance that with the requirements of attracting the greatest people that we can in the industry, and we feel like that mix is a pretty good mix today. But we will obviously be trying to drive down the share count between a combination of managing aggressive buybacks as well as prudent management of our overall compensation pool.
Justin Post - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Okay. Thank you.
Operator: Your next question is from Colin Sebastian with Robert W. Baird.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Great. Thank you. I wonder if you could describe overall trends with (28:29-28:37)...
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Okay, Colin?
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Yeah?
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Colin, we're having a hard time hearing you.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Can you hear me now?
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Yeah.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): The first question was describing trends you're seeing in attach rates for catalog titles, and that's just as a measure of the progress of comps in the cycle. And then secondly, I was hoping for just a clarification or update on the multi-year framework for revenue growth that you laid out at the Analyst Day. I believe you initially indicated an incremental $1 billion in revenue over two to three years. I wonder if you look through the pipeline and the progress you're making, how much of that potential there could be to that framework. Thank you.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Sure. So on attach rates, we're continuing to be excited about the growth of the overall console business. And I think the plans that were announced at E3 around both Xbox and PlayStation were viewed in the industry as very positive. I think moving beyond the notion of – or jumping into the compatibility issue head-on and trying to stop the notion of having consoles that are not compatible will help the software side of the equation dramatically over time, and I think that's a big plus. We continue to believe that we'll see upside in the number of consoles sold this year. And the software attach rates stayed pretty consistent with what we've seen up through the cycle so far. And so all of that I think bodes well for the overall cycle and should continue to help us drive upside. Now on the revenue growth, the numbers I laid out at the Analyst Day were basically, if you take our year-end fiscal 2016 results and you look out over the 2020 to 2022 timeframe, we believe that we could add another $1.5 billion of revenue from areas such as genre growth, moving into the action genre, continuing to grow our mobile business, continuing to grow our business in Asia and other parts of the emerging markets around the world. And we believe that could then continue to drive free cash flow growth and earnings growth. And $1.5 billion of additional revenue should be able to drive $1 billion in operating income and just under $1 billion in free cash flow growth during that time. Obviously those are all non-GAAP numbers, so. And we feel confident about the progress that we're making there.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Great. Thank you.
Operator: Your next question is from Drew Crum with Stifel.
Drew Crum - Stifel, Nicolaus & Co., Inc.: Okay. Thanks. Good afternoon, everyone. I wonder if you guys could comment on the timing of FIFA Mobile, what your expectations are. And I believe your guidance for mobile for the year was 15%. I know that's on a non-GAAP basis, but it looks like you're off to a very good start for fiscal 2017. Any update on expectations for mobile as a whole? Thanks.
Andrew P. Wilson - Chief Executive Officer & Director: So I'll take that. Thanks, Drew. So a couple of things. One is, mobile is going strong for us. We're seeing growth in the mobile market that is outpacing some of our early expectations for the broader industry. Star Wars: Galaxy of Heroes continues to perform well. Madden NFL continues to perform well, even in the off-season. And with the football season just around the corner, we expect that that will once again ramp. Our broader catalog of SimCity and The Sims and Need for Speed and Real Racing also continue to perform very well. As I said earlier, we just launched NBA Live Mobile. We launched that well in advance of the season to ensure a good and strong ramp both of the game design, the architecture and the infrastructure. And with a lot of basketball happening still with the summer season and a certain competitive sports event going on in Rio over the next couple of weeks, we believe it's a great opportunity to start to ramp our NBA business on mobile, and it's performing extremely well. And follows a similar design and modality of play to what we have learned – engages fans to the highest degree around Madden. As we've talked about before, we're also looking to do that with FIFA. And as with all of our sports games, we typically launch them at the outset or early in the season. And right now we're on track to launch our FIFA mobile property early in the European football season, which would align perfectly with the ramp of the fan base at that time.
Drew Crum - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, guys.
Operator: Your next question is from Brian Pitz with Jefferies.
Brian J. Pitz - Jefferies LLC: Thanks for the questions. On Madden, with unique players up 20% and mobile players up 25%, can you discuss what is driving this user growth and what role Ultimate Team is actually playing here? And then on mobile, with Star Wars: Galaxy of Heroes at the top of the charts, just wondering if you could comment on monetization on a per-user basis relative to other EA mobile titles. And looking at that averaged 2.5 hours per day of playtime, what's the durability of a game like that? Thanks.
Andrew P. Wilson - Chief Executive Officer & Director: I'll grab the first half and I'll let Blake take the second half. As it relates to our broader Madden community, again, the fan base of the NFL continues to grow. It's a great league. It's a sport that's very, very important to the population of North America and even growing internationally right now in Europe and Mexico and other parts of the world. Our Madden development teams have been very, very focused on a couple of vectors over the last couple of years. And you've seen this kind of manifest in both console and mobile as we've come forward. The first is about how do we bring on new players and then how do we keep players engaged over time. And, of course, quality is at the very core of that, but on-boarding, user interface, tutorials, training, things that really ignite the passion for new players and get them into the Madden community and playing and competing for the love of the sport as well as providing ongoing innovation and live services and ongoing community-based events that keeps our long-term fans and our long-time fans more deeply engaged. You're going to continue to see this across both Madden and our sports games and our broader portfolio. The global player community continues to grow. Mobile brings players in. Many of those players choose other modalities of play, like console. We see it as our objective to continue to deliver great experiences to new fans as well as meaningful and long-term engagement in live services to our long-time fans.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: I think on Galaxy of Heroes, what makes a great game is a deep engagement model, some reason for people to come back to enjoy something each day or each week. And we've cracked that code, we believe, inside of the console base. Ultimate Team, as you are all well aware of, it's a deeply engaging way to enjoy the sports you love as well as the video game you love. That same mechanic can work well inside of a mobile game, not just in sports, but also in games that we're proving with Star Wars: Galaxy of Heroes. It's event driven; activities, new things, new characters, new ways to play that are constantly brought into the game that keeps people coming back and keeps the level of that engagement at the height that you're seeing. We think that's very sustainable because you're able to continue to add activities. In the sports world, it works well because you're dealing with the real world sport all the time. But in the fantasy world, it's even better because you don't have the limits that you have in the real world. And so our goal is to continue to add new exciting context, ways to play, characters, enjoyment in the games that will keep them alive for many years to come and I think obviously keeps them monetizing over time.
Brian J. Pitz - Jefferies LLC: Great. Thanks.
Operator: Your next question comes from Chris Merwin with Barclays.
Christopher David Merwin - Barclays Capital, Inc.: All right. Great. Thank you. I just had a couple, and apologies if this was covered. Just in terms of the Player Network, I was just trying to get a sense of where you are in rolling that out, and to what extent we actually saw the benefit of that in the Ultimate Team result that you delivered this quarter? And then should we see maybe even more of an impact later in the year as it relates to your marketing costs as you roll out the big first-person shooters? And then just a second question on the mobile business; just wondering if there's any impact that you saw from Pokémon GO in the quarter. Augmented reality turned out to be this huge mass market feature that people really like. So do you have any plans to integrate augmented reality into your mobile games? Thanks.
Andrew P. Wilson - Chief Executive Officer & Director: Okay. So on the Player Network, you're going to hear a lot more about this from us. As we look to the future, as we think about where games are going, we see some fundamental problems arising if you are a gamer. So in a world where gamers are playing more games across more devices through more business models in more geographies than ever before, the concept as a player of always being able to stay connected to your friends and always being able to stay connected to the games you love, irrespective of what device you play on, is going to be an important problem to solve. We believe that the investment that we've been making, our core digital platform, with an ID that travels with you across devices with a single data infrastructure that allows us to always understand the full 360-degree view of you as a player and all of the services that are built on top of that, that allow you to connect with your friends across devices, is going to be an imperative part of our future. What you're starting to see now is this lineup inside of – across our console games, across our mobile games. We're making tremendous headway. That means no matter where you play, you can remain connected to your friends. If you move from iOS to Android and you are using our ID system, you do not lose your game progress. As you start to think about the communities that we build and connecting with those communities, particularly in things like Ultimate Team, we're seeing tremendous engagement where we are able to deliver you, by virtue of this Player Network, experiences that are personal, contextual and meaningful to you and your friends. We're seeing that the engagement improve dramatically and we're that seeing that players are opting into more and more of our games because we are finding a way to present them with opportunities that are meaningful and personal for them. You're going to see more and more of this in the future. We expect that it will continue to become a powerful tool in how we engage with players, but as importantly, how players engage with each other. And in the broader network world that we now live in, the power of our network will be directly proportional to the number of players inside the network and the strength of connections between the players inside that network. And a lot of what we are doing as it relates our core digital platform development, our single engine development and our broader portfolio of game development is all in service of manifesting the strength in that network. As it relates to Pokémon GO, great question. First, as a comment, I think that what that team has done is very, very strong. It's a great blend of an IP that we have known and loved for the best part of 20 years and a new technology that introduces that to a new audience through mobile devices. What you've heard from us is that we have been working on both VR and AR for some time. We have made some announcements around VR in mobile and on console with PlayStation VR, and we're going to continue to invest there. As you can imagine, we are energized by the success of Pokémon GO. We have tremendously strong brands that are unbelievably social in nature, where we believe that the participation at a community level through AR will just heighten that experience. And we have been working on some things for some time and we'll continue to work on those, and we'll be ready to launch them at a time where we think we can better engage communities through AR.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: And, Chris, Pokémon really came out after our quarter ended and, in a broader sense, in global rollout. But if we look at the daily revenue trends even after it's come out, we haven't seen much impact. I think it's brought in a lot of new game players and a lot of people have been involved with it, but it hasn't really detracted from any revenue that we're seeing in our regular mobile games.
Christopher David Merwin - Barclays Capital, Inc.: All right. Great. Thank you.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Next question?
Operator: Your next question comes from Eric Sheridan with UBS.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the questions. Maybe one big picture and one on the Star Wars franchise. Big picture question, Andrew. Would love your thoughts on how we should be thinking about the publisher community and how it's going to approach the console upgrade or mid-cycle console upgrade cycle, however you'd like to frame it, that we're going to see from Sony and Microsoft and Nintendo over the next 12 months, plus or minus, how you're preparing for that, what that might mean in terms of going to market, making consumers aware of your titles and managing through that transition. And then on Star Wars, we saw the announcement at Star Wars Celebration. It looked as if the expansion pack this year is going to be more tightly intertwined with the actual movie content that comes out in December. What might that mean for the breadth of the platform going forward as well as maybe even marketing efficiencies, since the content could be so tied closely with the movie? Thanks, guys.
Andrew P. Wilson - Chief Executive Officer & Director: So on the first question, at a macro level, we're excited about what Sony and Microsoft have announced. The reality for us is, again, in a networked world, liquidity of players is really, really important. And what we've seen over the last decade or more with respect to PC gamers is that community has continued to grow and it has grown a world where the hardware refresh cycle has been disconnected from the software refresh cycle. And what that's meant is that irrespective of what kind of device you have within kind of a seven to 10-year timeframe, you're able to play with a much, much bigger global community. What we see now with the things that have been talked about with the mid-cycle refresh is that only going to enhance the size and engagement levels inside the communities. For us as a publisher, we're in a very strong place. We've been building across platform and across console and for scalable architectures like PC for some time. So the notion that we would build once an experience that can scale up and down across an entire spectrum of consoles, whether the first phase, the second phase or the third phase over time is not something that's foreign to us and something that we're very energized about because, again, I think we have strength in a networked world and we have strength where there is a requirement to build these scaled experiences that keep players connected. So on balance, we think this is great for the industry. It will almost certainly extend the console cycle almost to an infinite level if we get to a point where there's just constant hardware upgrades and constant software upgrades but we are able through the scaling of our games to keep the community always together. More broadly thinking about the Star Wars franchise, again, this is a long-term play for us. We're very excited. We were overjoyed with the performance of Star Wars Battlefront. We're overjoyed with the 6.6 million players that played the game through Q1. We're continuing to support that. As each movie comes out over the time of our relationship, we expect that the Star Wars community will continue to grow and we will be doing our best to align, in some cases, the content and experiences and, in some cases, just the passion for Star Wars. But certainly aligning what we're doing around the Star Wars universe with what's more broadly happening with Star Wars pop culture. And we think that's a win as we continue to live up to the fans long term.
Chris Evenden - Vice President-Investor Relations: Next question?
Operator: Your next question comes from Mike Olson with Piper Jaffray.
Mike J. Olson - Piper Jaffray & Co. (Broker): Hey, everybody. I had two question. You mentioned earlier that you haven't changed your assumptions that are built into guidance for Battlefield 1 and Titanfall 2. I don't recall if you provided what kind of unit expectations you have for those titles. Is that something that you would be willing to share or share again if you have already talked about it? And then secondly, do you anticipate any Olympics-related distraction that could impact player engagement over the next month or so? Have you ever seen anything from Olympics in the past? Thanks.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: So on the guidance, we've talked rough numbers with people. We've told people that typically a Battlefield title does about 15 million in a year. Our guidance is slightly under that. And we hope that that excitement builds and it will clearly go through that number. But for right now, it's slightly under that number. And Titanfall did a little more than 7 million units last time. It was early in the cycle and one of the few titles out there. We think it'll do more than that, but it's probably closer to 10 million than it is to 15 million as built into our guidance. So closer to 9 million to 10 million on Titanfall and just under 15 million on Battlefield 1. In terms of the Olympics, Andrew can probably jump in here. But I think oftentimes, if there are sports going on that we have games associated with, there's a lot of positive. As you see with the FIFA Ultimate Team, numbers relative to the Euro and the Copa America. We didn't have programs directly linked to those, but people engage in those because their favorite players are playing on new teams or in new tournaments and that drives them in. So I think in general, athletics bring people back to athletics. If they're watching on TV, they're oftentimes going to try to imitate that somewhere else and that may benefit some of our games.
Mike J. Olson - Piper Jaffray & Co. (Broker): Thank you.
Operator: Your next question comes from Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC: Thanks a lot for taking my question. Just looking at your extra content free-to-play line in digital, obviously your biggest segment within digital, growth in 1Q was just a little more than 1%. That's your slowest growth quarter I think ever since you started putting out those metrics. Was there anything specific that – was it timing of just the releases that drove that number so below average? Or was there something unique there? And how do you see that playing out over the rest of the year?
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Yeah, so you're referring to growth in extra content? Is that what you're saying?
Eric O. Handler - MKM Partners LLC: Yes, Blake.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Yeah, so growth in extra content is really masked by the fact that we last year in the quarter had a $30 million deferral of...
Eric O. Handler - MKM Partners LLC: Oh, that's right.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: FIFA Online 3 revenue that popped all in Q3. So if you take that out, you saw strong growth in extra content. Clearly, if you look at the underlying growth of Ultimate Team, you're continuing to see extremely strong growth in Ultimate Team led by FIFA across the full Ultimate Team spectrum. And so we are pretty confident that our guidance for the full year of 10% growth of extra content will be on track and we should easily be able to see that over time. Similar dynamic and full game downloads, it was flat year-over-year. But almost all of that flat was driven by the fact that in Q1 last year, we had a huge amount of sales on Battlefield Hardline, a very large title. We didn't have a similar large title. Obviously we had one title in the quarter, Mirror's Edge, but a much smaller title than the comparison as Battlefield Hardline last year. So we're very confident that the digital growth is continuing and just cautioning people to always make sure they look at drivers of the underlying – understand the underlying component.
Eric O. Handler - MKM Partners LLC: Much appreciated, Blake. Thanks.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Your next question comes from Ben Schachter with Macquarie.
Benjamin Schachter - Macquarie Capital (USA), Inc.: Hey, guys. A few questions. First, just broadly on retail. As you move to more digital full game downloads, can you just broadly discuss how it's impacting relationships with the key retailers, how that will evolve over time? And then secondly, PlayStation VR likely to first (49:47) more mass market VR product to come to market? What is that going mean for the industry overall? Obviously, it's going to be pretty small numbers this year, likely (49:57). But does the interest in that mean anything for the industry broadly? And then finally, on the U.K., historically first-person shooters have actually been geared very much to the U.K. and U.S. With all the issues that are going on in the U.K., do you think that's going impact anything at all for Titanfall and Battlefield and potentially FIFA? Thanks.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: So why don't I just hit the piece on the U.K. real quick. So we're hedged through – out 18 months. Those hedges are not 100% each quarter, as they decline over time, but we're well hedged for the rest of this year, so we don't see more FX headwind that would impact the sales of FIFA or Battlefield or Titanfall. We also don't see any changes in the Brexit driving changing in people's desire to play video games. So we don't see an impact there. Do you want to touch on the VR piece?
Andrew P. Wilson - Chief Executive Officer & Director: Yeah, so on PlayStation VR, again, we're very excited about this. I think to your point, given its price point and modality of play, it's one of the more accessible forms of virtual reality play right now. We've got a great experience coming later in the year that I've played and it's super fun and super exciting. I think that part of the reason people play games is to kind of immerse themselves in a fantasy and escape and fulfill these fantasies with their friends. Particularly when we design games, we design them on a big screen TV and we have to overcome, as designers, this spatial disconnect between us and the television. Of course virtual reality, we don't have to overcome that spatial disconnect. So the more that we can introduce people to low barrier to entry virtual reality, I think the faster it's going to take off as an industry. And so us as a company, we're looking at how we can invest across all elements of the spectrum from the mobile elements right up to the high-end elements. And PlayStation VR I think is going to be a great step in the evolution of our industry and the evolution of how people play games and we're going to continue to invest there.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: And then on the retail question, we have, we believe, strong relationships with a whole set of global retailers around the world, some large, some small. We try to maintain those and we try to build a dual strategy where we're pushing digital but we're also using the retailers for what the retailers are really good about, which is marketing and really pushing out the information about the games and the excitement around the games. We're always going to have that as a dual strategy. We believe the retailers will be around for a long period of time and are important in our system and we try to have a fine balance there. We try to help the retailers be involved in some of the digital business where they can, and just maintain a strong business for them as well as continuing to grow our business, both digitally and physically. Next question?
Operator: And your next question comes from Mike Hickey with The Benchmark Company.
Michael Hickey - The Benchmark Co. LLC: Hey, Andrew and Blake. Great quarter, guys. Thanks for squeezing me in the question-and-answer here. I'm curious – two questions, one on FIFA 17 on the Story Mode, who the incremental player is there that you think will show up and if you fear at all there could be any sort of pressure on Ultimate Team and I guess Story Mode cannibalizing Ultimate Team to some level? And second question, any visibility on fiscal 2018? At least on the surface – obviously we're Q1 2017, so it's quite a ways away, but on the surface it looks like the environment could be a bit challenging at least in driving sales growth and how you think about maybe M&A as a potential driver for fiscal 2018 growth? Thanks, guys.
Andrew P. Wilson - Chief Executive Officer & Director: Let me touch on the FIFA piece, and then I'll let Blake take on FY 2018. As we think about our global community of gamers, again, FIFA is one of the biggest games on the planet. It attracts a very diverse playing population: old, young, male, female, east, west. And we are always looking at delivering new and innovative experiences for our FIFA players. We still expect that FIFA Ultimate Team will be the most engaging mode in the game. Year-on-year our players tell us that it's the most exciting way to play FIFA and the most interesting way and fulfills their fantasy of really building the ultimate team and taking that team and competing with their friends. But with that said, we also understand that as a new player coming into FIFA that may be a little daunting. And so we see Story Mode as not just a new way for existing fans to play, but actually a great on-boarding mode. Again, every kid in every country around the world that follows soccer or football dreams of that opportunity to get called up to the first division in their country. And we believe that fantasy is something that's very compelling, and we believe the mode overall will be a great on-boarder for new players and ultimately help them understand the beauty of football, the beauty of FIFA as an interactive game experience and help move them into the broader FIFA community where they will likely engage with the tens of millions of people every year in FIFA Ultimate Team.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: Yeah, remember still just a little bit more than 50% of all people who buy FIFA actually engage in Ultimate Team. We see that as a huge opportunity to bring more people into Ultimate Team. And there are many people that don't understand how the soccer system might work or works around players and development of players, which is critical to the foundation of Ultimate Team. And so we believe this is a way to continue to bring people into that. On the fiscal 2018, we're obviously not prepared to give guidance yet on 2018 anything more than we've already said in the past. We're excited and hard at work at the next Star Wars Battlefront title. We've got a couple of great new opportunities coming that we haven't yet announced that we'll give you more insight on. We've got some great things going on in mobile. We're excited about the continued growth of the FIFA franchise and Madden franchise, NHL, NBA franchise, and leveraging mobile in all of those cases. And I think the one thing to remind people of that oftentimes gets forgotten, is to the extent that we have a very successful Battlefield 1 and Titanfall 2 launch, those will be a big benefit to next year's plan. Just as you're seeing now, we still have 11 million people engaging in Battlefield 4. And so that Battlefield world is incredibly important; the Star Wars world, the same way. We'll continue to leverage that as we drive through 2017 and into 2018 and 2019.
Michael Hickey - The Benchmark Co. LLC: Thanks, guys.
Operator: Your next question comes from Neil Doshi with Mizuho.
Neil A. Doshi - Mizuho Securities USA, Inc.: Great. Thanks, guys. Given the increasing engagement on the mobile side as well as on the console side, have you guys thought about getting more aggressive in terms of advertising as a way to get players to pay more as well as to play more? And then on the international side, it looks like international as a percent of revenue jumped to about 59%. It's been higher than it has been in the past couple of quarters. Any color in terms of titles and/or regions that drove that growth? Thanks.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: So on mobile advertising, we do a little under $100 million in mobile advertising. We try to steer – we try to do a couple things. We try to keep people in our networks, so steer them to other games in our network, which is powerful. That doesn't make us money, it just keeps people in the network. And, two, the next piece is we might tend to show people advertising if they're not monetizing in other ways. What I will tell you is because most of mobile game use is anonymous, it's hard to collect data on your mobile users. That means the value of that advertising or the CPMs are fairly low and thus the reason it's less than $100 million for us even though we have a large mobile network. We'll continue to experiment with that and we'll continue to look at it, but we don't see that as a giant revenue growth opportunity for us at this point in time. On the international piece, I think some of it's simply driven by the strength of FIFA and FIFA Ultimate Team. Much of FIFA's marketplace is international, particularly Europe. And as that business continues to get stronger, you're going to see that skewing, particularly in a quarter where FIFA Team is so important where there's not as many new releases that'll skew the revenue to the international. One last question?
Operator: And our final question is from Doug Creutz with Cowen.
Doug Creutz - Cowen & Co. LLC: Hey, thanks. I'm going to get way down in the weeds here. There was a story towards the end of the quarter that your in-form players weren't interacting correctly with the chemistry mechanic in FIFA Ultimate Team. It's one of those things you see on Reddit. Has that had any impact on Ultimate Team monetization as you got into the September quarter? And do you feel like you have your arms around getting the mechanics fixed and making sure the player base is happy with the outcome?
Andrew P. Wilson - Chief Executive Officer & Director: Yes, so that is getting in the weeds a little bit, but I'm happy to have a conversation about it. So as with any live service, there are times where we find bugs in the software. We stayed very, very close to the community, again, engagement of our community. Ensuring our community has the utmost and highest experience when playing our games is very, very important to us. And so what I'm happy to say is the team was very close, they heard that feedback from the community. They rallied very quickly, the found the bug. They fixed the bug and deployed a fix very, very quickly and were very transparent and open with the community throughout every step of the way. As a result of that, we didn't see any impact to the engagement or the broader interaction with the mode, and quite the opposite. I think what we found was the community deeply appreciated that we were connected with them, that we were listening to them, that we acted quickly, transparently and openly and we solved the problem going forward. As we think about our live services future, this is really how we need to operate as a business. We won't always get the code exactly right, but it's as much about how we operate when we don't quite get it right as it is about when we do. And the commitment we make to gamers is to be very open and transparent with them, to listen to them and always working diligently to deliver the best experience possible.
Doug Creutz - Cowen & Co. LLC: Great. Thanks, Andrew.
Blake J. Jorgensen - Chief Financial Officer & Executive Vice President: With that, I think we'll end the call. I do appreciate everyone's patience around the GAAP to non-GAAP transition that we're making. I encourage everyone to dig in to make sure that you and the rest of your investors understand what the real numbers are because we have already started to see some disconnects between people who don't understand it. So appreciate everyone here on the call communicating the right numbers to people and helping us make this transition. So we'll talk to everyone next quarter.
Operator: Thank you for your participation. This does conclude today's conference call, and you may now disconnect.